Operator: We are about to hand over to Unilever to begin the conference call. [Operator Instructions]. We will now hand over to Richard Williams.
Richard Williams: Good morning, and welcome to Unilever's Full Year Results Call. Alan will begin with an overview of 2019 before passing to Graeme to cover the divisions and regions in more detail. Alan will wrap-up with some comments on the 2020 priorities and our outlook for the year. We'll keep the prepared remarks around 30 minutes, leaving plenty of time for Q&A. All of today's webcast is available live, transcribed on the screen as part of our accessibility program. So first, let me draw your attention to the disclaimer to forward-looking statements and non-GAAP measures. And with that, let me hand over to you, Alan.
Alan Jope: Well, thanks, Richard, and good morning. In December, we issued a sales update, and we made it clear there that quarter 4 was going to be a weak quarter of growth. And in the event, as you'll have seen from this morning's announcement, we delivered underlying sales growth of 1.5% in the quarter, which brings the full year growth to 2.9%, frustratingly just below our guiding range. Given the benefit that we've had from portfolio change, we do see 2.9% as an unsatisfactory result. Graeme will share with you the drivers of that weak quarter in a few minutes. Now I say frustratingly because on our other key measures of performance, 2019 was a good year. The balance of volume and price was good. We continued to deliver high-quality margin improvement, and that took us to 19.1% underlying operating margin. The 50 basis points improvement came mainly from 30 bps of increased gross margin and was delivered whilst accelerating the absolute investment that we were making in our brands. Underlying EPS increased by 8.1%, and we delivered a record year of free cash flow at €6.1 billion with conversion - cash conversion well above 100%. So Unilever remains a tightly run organization. There were several good full year performances in emerging markets and Home Care, which both grew over 5%; and in e-commerce, where we saw 30% growth in a market that's growing at around 20%. E-commerce is now about 6% of Unilever. However, our disappointing quarter 4 is certainly a catalyst to our entire organization that we need to improve our growth performance, which remains, of course, our overarching priority. Now I'll talk more about 2020 after Graeme has gone through the 2019 results in more detail, and we will share how we plan to accelerate through the year. One thing we do want to provide an update on, though, is the performance in some hot spots that we called out with the Q3 results, and we've made some good progress. Dressings in the U.S. has now been gaining value share for the last 2 12-weeks period, so that's 6 months. There's a - this is a result of continued strong investment like in the Hellmann's brand and some on-trend innovation like vegan meals. I should say that the strong growth of Sir Kensington's is also helping contribute to this good recovery in dressings. In U.S. ice cream, we're now solidly gaining share, and this has been led by our premium portfolio. In U.S. hair care, while the share numbers that you see here are still negative, we're pleased to see a recovery starting to come through. And in fact, in the most recent monthly share reads, we're back in positive territory. But we need a few more quarters to ensure that our marketing and innovation plans behind TRESemmé and Suave are the best they can be before we show sustained share improvement and declare victory. Overall, the extra investment that we put into these areas is paying off, and our marketing actions are having the desired impact. In tea and developed markets, it's a slower recovery, and there's still work to do. I'm obviously going to come back to tea later. Now 2019 was a year of significant internal change for the company. We've taken steps to make sure that Unilever is organized and focused to seize the opportunities of this fast-changing consumer products world. And first, we have a new leadership team. There's been several moves on the exec. We brought in, unusually, 3 leaders from the outside: Richard Slater in R&D, Sunny Jain to lead Beauty & Personal Care and most recently welcomed Fabian Garcia to run our North American business. We've also promoted 3 Unilever executives to the top table: Peter ter Kulve running Home Care, Sanjiv Mehta in South Asia and Conny Braams as our Chief Digital and Marketing Officer; Nitin and Hanneke on new roles, and we're delighted to have the continuity that Graeme, Leena, Marc and Ritva bring. We've also flattened our market structure under our newly created position of Chief Operating Officer, which Nitin took up in May. We've now got 15 performance managed units directly under Nitin's leadership. And by removing most of our regional layers, we believe we're building a faster, more execution-focused, more connected markets organization to deliver the strategic agendas of the divisions. So that's on people and organization. A third piece of major work that we completed last year has been to update and integrate our business and sustainability strategies into one, single, unified growth strategy. Our vision of sustainable business driving superior performance is one that has inspired the entire Unilever organization. The task ahead of us, of course, is to continue our multiyear track record, ensuring that Unilever's leading position on environmental and social sustainability as well as our highest standards of corporate governance translate into superior stakeholder returns. Over the last few years, we've made quite significant changes to our portfolio, acquiring businesses in new segments and disposing of parts of the company, such as Spreads. And at our investor event in 2019, we said we would carry an uncompromising evaluation of our current categories and brands with a very open mind. And today, we've announced that we initiated a full strategic review of our tea business, and I'll tell you more about that when we talk about the 2020 plans. So before we jump to 2020, Graeme, maybe you could cover some more detail on last year's results.
Graeme Pitkethly: Sure thing. Thanks, Alan. Good morning, everybody, and well, happy new year if it's not too late to wish you that. So looking at 2019, 2.9% is broadly in line with our 3% run rate over the last few years. But with the greater contribution that's come from portfolio change, as Alan said, we view it as a disappointing figure. Growth has been consistent, though, in emerging markets over the last 4 years with emerging markets delivering between 5% and 6% of growth. Now of course, there's always some bumpiness in between the quarters as we saw in Q4. We gave you the headlines on the quarter back in December, and we said we'd give you a little bit more color in the new year, so let's do that. Our run rate in Q4 slowed from a little over 3% in the last few quarters prior to that to only 1.5% in Q4. And there were essentially 4 factors behind this slowdown. There have been challenges in West Africa. We have 2 very important businesses, one in Ghana and one in Nigeria, which have grown by double digits over the last 5 years, but both experienced a very tough second half in 2019. Now Ghana and Nigeria have recently reported a very poor quarter 4 on top of a weak quarter 3. And when we look at Q4 versus the run rate of the few quarters before that, we estimate the impact of that to be about a 40 basis point drag. And this was the result of slowing market conditions, liquidity issues and a subsequent management decision that we should reduce the high levels of stock that have built up across the trade landscape. Secondly, coming to India, market growth has slowed throughout the year in line with the GDP slowdown, but our growth had held up well even into Q3 when we were at 7% USG year-to-date. In Q4, however, the market slowdown was sharper than expected, and that, coupled with some pricing actions of our own, has impacted our performance in the quarter. And I won't say more about that now because Hindustan Unilever are only going to report their results tomorrow, but we can talk more about that after they've done that. In North America, as Alan has already explained, we are pleased to begin to see a recovery in some of the hot spot cells, but we, to be honest, hoped for a little bit more in quarter 4. The main reasons for the shortfall versus our expectations in the region were that our foodservice business had a poor quarter 4, and our hair business, as Alan said, is taking a little longer to get back on a winning track, although we are obviously encouraged by the more recent share trends. Finally, in North Africa, Middle East and Turkey, NAMET as we call it, we saw a significant slowdown, much of which was expected as inflation dropped, particularly in Turkey, and volumes were weaker across the region. Now we expect these factors, 4 of them, to continue into the early part of 2020 and, hence, our guidance of a first half growth of below 3%. However, all of these countries remain good long-term prospects. And as always, we won't let a few quarters or a quarter of bumpiness put us off investing and doing the right things for the long term. Now let's take a look at the divisions. Beauty & Personal Care grew by 2.6% with 1.7% from volume. In Q4, growth of 0.5% for Beauty & Personal Care was impacted by the slower performance in the geographies that I've just mentioned. Deodorants and skin care delivered good growth. Prestige, again, delivered double-digit growth with most brands contributing and reached over €600 million of turnover in 2019. Both Garancia and Tatcha, which we acquired this year, delivered well. In deodorants, we saw strong growth in Brazil as we regained the consumer who had been trading down during the recession. And in Southeast Asia, the dry serum innovation has offered consumers a different way to enjoy the benefits of deodorant in humid countries. Aluminium-free deodorant under our Dove brand has performed very well across Europe and North America. Skin cleansing in India has been impacted by both a declining market and pricing actions which we have taken in order to increase competitiveness. Growth was weak in hair care, impacted by North America, with more work to do here. And whilst we are seeing green shoots, we're not yet happy with our performance. However, as Alan said, the investment we've made during the second half and particularly in quarter 4 has contributed to an improved performance, and our investment will remain strong behind this business. Foods & Refreshment delivered 1.5% growth with 1.7% coming from price. Volume declined in ice cream due to a strong comparator from hot weather back in 2018. And despite this, ice cream grew 2% in the full year with good growth in Turkey and in Southeast Asia. Magnum and the Heartbrand, which we know as Wall's in the U.K. or, indeed, Algida in Turkey, et cetera, delivered above-average growth with premium innovations like white chocolate and cookies supporting the category. In Foods, the on-trend segments of snacking and scratch cooking continue to grow above average, and the AAR region delivered good growth, although the second half was impacted by the challenges in West Africa. The Philippines and Indonesia, we've called out as particularly strong. In fact, our sweet soy sauce brand, Bango, continues to be very popular in Indonesia and is driving strong volume growth. It has been another tough year in Europe where Foods declined slightly, led by Germany and the U.K. The launch of The Vegetarian Butcher into Burger King across 25 countries in Europe is a significant win for us and offers a strong growth opportunity. As Alan mentioned, we're pleased with the recovery in Hellmann's in the U.S.A., where the overall dressings category has started to grow again as a result. Tea had a challenging year in developed markets, but strong growth continued in the tea business in India. Turning to Home Care. Home Care grew by 6.1%, balanced between volume and price. The strong performance was broad-based with fabric solutions, fabric sensations and home and hygiene all growing by mid- to high-single digits. Growth in Brazil, India and China has led to strong performance with successful market development across all of our brands. Format trade-up success is very evident in our above-average growth rates in capsules and liquids across China, India, Vietnam, South Africa and, indeed, beyond. Concentration has been on winning initiatives in 2019, particularly in Brazil, and we're seeing good results both in terms of growth and in margin. The use of recycled plastic and less plastic is a strong focus for Home Care, with 2019 being the year of many launches across the major brands of Cif, Sunlight and Omo. Seventh Generation, which is our plant-based laundry detergent, continues to grow at strong double-digit rates in the United States. Before moving on, I'd just like to cover some of the successful examples of innovation that we've had in 2019. These were successful both from a product performance point of view but also in the way we communicated the innovations to the consumer. It is these examples that we will look to replicate across the whole business in 2020 and beyond. We employ leading technology to create innovations, such as the Dove microbiome body wash, which is now in 36 countries and driving microbiome awareness; or indeed, Rexona Clinical, which has strongly contributed to the growth of the deo category this year, doubling penetration of the clinical segment in Brazil and Australia. Insights from the plant-based vegan trends in Food & Refreshment have resulted in on-trend innovations across the division. And in Home Care, our capsules and liquids innovations are driving market development. Omo capsules in China have contributed to double-digit growth in Home Care with Surf Excel doing the same in India. Market development remains a core driver of growth in Home Care, and our emerging market footprint means that we're well placed to lead the change. We're fully focused on achieving more innovation success in 2020, and Alan is going to talk a little bit more about that in a minute or 2. Moving on to the regional performance. Performance in Asia/AMET/RUB was overall strong at 5%, balanced between price and volume. There have been many strong performances across this region. Southeast Asia delivered mid-single-digit growth in the full year with the large countries of India - sorry, Indonesia, Vietnam and the Philippines growing consistently, backed up by high growth in the nascent markets of Myanmar and Cambodia. China grew high single digit ahead of the market with our premium-priced portfolio across BPC and Home Care delivering well. However, in AAR, Q4 USG was only 2.1% impacted by the factors that I explained earlier, in particular, price slowing down driven by India skin cleansing, Turkey and other countries in the Middle East such as Egypt. Latin America grew by 5.1%, which is the strongest growth since 2016. In quarter 4, volume would have been positive had it not been for lapping the impact of the trucker strike restock from last year. For the full year, Brazil grew by mid-single digits, ahead of the market with a return to strong price growth. Deodorants and Home Care performed strongly, helped by innovation in both categories, which is beginning to attract consumers back towards the mid-tier brands. We're investing behind concentration initiatives in Home Care in Brazil in both powders and liquids, and that has supported our growth. Mexico also grew by mid-single digits with good growth in ice cream, driven by Magnum; and in Foods, driven by gains in the traditional trade across our Savoury portfolio. In Argentina, conditions remain tough, but our business has strengthened throughout the year and, importantly, has outperformed the market on volume. North America grew by only 0.3% with positive price growth and negative volume. Q4 delivered 0.6%. This was a step-up from Q3, helped by the recovery in the hot spots, as Alan explained, but we still have more to do. Deodorants continue to grow well with Dove and Degree maintaining their number one and number two brand positions. Our clean and green Home Care brand, Seventh Generation, has also contributed to North American growth, and we've launched Love Home & Planet during the year. Dressings accelerated throughout the year, and the second half showed positive sales and share growth. These good performances were offset, as already mentioned, by continued challenges in the North American hair business and a poor quarter in the foodservice business. In Europe, underlying sales declined 0.6% with volume growth of 0.3%. Ice cream was the key driver of this decline following 2 years of hot weather. Pricing stepped down in quarter 4, a result of higher promotional spend within a deflationary environment. Home Care delivered growth, led by fabric sensations and home and hygiene, with some strong naturals innovations from Cif. Deodorants and skin care also grew in Europe. We saw strong gains across Central and Eastern Europe and Italy, whilst France, Germany and the U.K. all had a tough year for growth in difficult trading environments. In the U.K., Brexit-related retailer destocking impacted Q4. Turnover was €52 billion in 2019. Underlying sales growth added 2.9%. Acquisitions and disposals decreased turnover by 2.3% following the disposal of the Spreads back in July 2018, although in the second half, acquisitions and disposals actually increased turnover by 0.5%. Currencies increased turnover by 1.5%, mainly due to the strength of the U.S. dollar versus the euro, plus appreciation in some Asian countries such as Indonesia and India. And looking forward, based just on the latest spot rates, we expect currency to have quite a limited impact on both turnover and EPS in 2020. Turning to our margins. We made strong progress, delivering a 50 basis points increase in the underlying operating margin, and that takes us to 19.1%. Our gross margin increased by 30 basis points, helped, of course, by our net revenue management program and continued efficiencies from supply chain programs such as 5S. Our brand and marketing investment increased by €70 million in constant currencies in the full year with all of the increase coming in the second half, and it was flat as a percentage of turnover. We continue to find efficiencies in our marketing spend through investment in new digital tools and capabilities and rigorous tracking of our spend effectiveness. These measures ensure that we can remain strongly invested behind our core brands whilst also delivering productivity gains. Our overheads decreased by 20 basis points through a zero-based budgeting and change programs, and the stranded costs from the Spreads disposal have now been fully addressed, in line with our original plans. Overall, underlying earnings per share increased by 8.1% in current rates and 5.8% in constant rates. Turnover and operational performance, which, of course, is the combination of growth and margin, contributed 6.5% to earnings. The earnings dilution from the Spreads disposal was mitigated by the 2018 share buyback which had a 2.6% impact. Minorities and pensions made up the 0.6%. Minorities increased as a percentage of net profit back to more normalized levels following the Spreads disposal in the prior year. Our underlying tax rate was 25.5%, and we expect our tax rate over the medium term to continue to be around 26%. And we expect the interest rate on net debt to be around 3 percentage points in 2020. Currency movements increased EPS by 2.3%. Turning now to the cash flow and our balance sheet. We delivered the highest-ever free cash flow of €6.1 billion in 2019. This is an increase of €700 million over the prior year, driven by higher underlying operating profit and working capital improvements, which had been adversely impacted in 2018 by the disposal of Spreads. Our cash conversion increased to 110%, also the highest since we began measuring it. Our net debt sits at 1.9x EBITDA, in line with our long-term leverage target of around 2x. We expect to continue to maintain leverage at around this level. Our return on invested capital has improved to 19.2% versus the prior year of 18.1%, following gains from operational performance, offset by increases in goodwill and intangibles, very much meeting a ROIC target of high teens. Our pension deficit has reduced by €0.7 billion to €0.2 billion, which is the lowest in over 15 years. That's a result of good investment returns, partially offset by higher liabilities. This is a strong performance in cash, on financing and return on invested capital, reflecting the strong financial discipline that we have throughout the business. And with that, let me hand you back to Alan to talk more about the 2020 priorities.
Alan Jope: Thanks, Graeme. Before I actually talk about 2020 and as we near the completion of our three year strategic plan, I did want to make a few comments about the overall progress on a slightly longer-term frame. We set out a multiyear growth range of 3% to 5%. And yes, we've been around the low end of that consistently for 4 years. We are becoming a simpler, faster organization. We've continued the journey that started with Connected 4 Growth by now delayering the business, getting closer to the markets and putting in place a Chief Operating Officer, as I mentioned. Margin is probably the big story. We've improved from 16.4% at the end of 2016 to 19.1% last year. And we've delivered fully on our fuel for growth plans of €6 billion of savings across three years. Although, as I said before, we intend to - need to continue with the savings at least at this level to allow us to keep on investing in our business. We've evolved our portfolio through disposals, notably our spreads. And as everyone knows, we completed a significant number of acquisitions. And yes, portfolio evolution will continue to form an important part of our strategy, though with a more focused acquisition agenda. Our capital and legal structure, we have improved by buying back and canceling the preference shares, and measures to close the trust office have been completed. But as you know, the proposal to simplify our historic dual structure was withdrawn. On leverage and returns, we've returned 8 - €11 billion in share buybacks. And Graeme has just demonstrated, I think, how disciplined we are in our approach to return on invested capital and net debt. So it's crystal clear that the metric to improve upon is growth, and I'm absolutely determined that we will meet our ambitions in this space. So let me say a little bit more about growth. Now we are focusing on a framework that you should get used to seeing from us from now on. We're calling it the 5 growth fundamentals. They're shown here on the left-hand side of the chart. They've been built from a deep and empirical analysis of the factors that drive growth in the types of consumer goods categories that we compete in. And I'm just going to rattle through them all quickly. So first, penetration. This is a measure of how many households have bought our brands in a given period. And there's an absolute direct correlation between household penetration, market share and growth. This is built on the premise of addressing the long tail of buyers and consumer goods and not overfocusing on your core of loyal users. And what we're focused here on is building mental and physical availability of our brands through improvement in things like the quality of advertising and the strength of distribution. This work, of course, is focused on key cells and is the methodology by which we've recently turned around a number of the hot spots that we covered earlier. Secondly, innovation. We have a - despite - we have a proud history of innovation, and Graeme has showed some great examples a minute ago, but there's more that we can do to step up the impact from our current innovation program, including a positive impact to the total category level for our customer partners. Specifically, we are investing to deliver a higher proportion of functionally superior products with more leading technology and more benefits. We're being more decisive on our choices of which innovations to prioritize, and we're actively cutting the tail of small projects. We're also making faster decisions post-launch on whether to accelerate, pivot or kill projects. We really know after about 100 days with a high level of certainty what are the winners that we should back and where we should cut our losses quicker on something that's not working. Thirdly, we are designing more deliberately for specific growth channels. We're clear on the channels that are growing the fastest, and we're organizing behind them with focused channel teams who will ensure we're in the right portfolio and the executional muscle to win. Turning to purpose. You know that we're seeing stronger growth from our purposeful brands. And we're now measuring how brand purpose is perceived by the consumer, whether she truly understands that our brands authentically stand for something more when she makes the choice to buy. This is important for the short term but also to ensure that our brands remain relevant for generations to come. And we are investing more of our marketing spend on communication, which is explicitly purposeful as we got extremely strong data on the link between purposeful communication and both short- and long-term growth. And fifthly, but by no means last, is the fuel for growth. And we're continuing to invest very competitively in our brands. And we're able to do this because we unlock savings through existing programs like 5S, ZBB and organizational change, but as well as through new initiatives like our grow, power, run model that we previewed at the Investor Day. This is the model that optimizes both global scale and focused expertise in the more transactional parts of the business. So these five growth fundamentals will unlock progressive acceleration of growth in 2020. And as shown on the chart, in parallel, we continue to evaluate our portfolio against a number of criteria. Those criteria include, for example, are the categories high growth? Are they of sufficient size? Are they unconsolidated? We should be looking for future-facing markets with strong emerging market growth potential, which are sensitive to Unilever's marketing and technology capabilities. They should also be categories where Unilever has the right to play in, by that, I mean, we've proven some existing success. Let me highlight a couple. These criteria help us to identify focus areas for the future such as luxury beauty and, in particular, skin care. We've been successful in building up a Prestige portfolio, and it's on track for its €1 billion ambition. But there's much more opportunity and we are raising our ambition, particularly in the high-growth area of Asian skin care. The second area which we haven't said much about until now is this overlap that's emerging between personal care and health, wellness and personalized nutrition. In this case, we are focusing on vitamins, minerals and supplements, or VMS. We started this journey with the acquisition of Equilibra in June 2018, followed by OLLY in April of last year, and both brands are growing strongly. We have significant international potential. And you should think about VMS as - in the same way that we described our commitment to Prestige beauty a few years ago. Now in contrast, we have parts of the portfolio which are more mature. They're consolidated. They're structurally slower growing and which are less sensitive to technology and marketing capability. And Spreads fell into this category, and we ended up making that disposal in 2018. Our tea business also falls into this camp. It has a disproportionate large footprint in black tea, which is slower growing and also in developed markets. Tea now has a long track record of being dilutive to growth and margin over the long term. So this strategic review announcement means that we want to investigate how we can best create value for stakeholders. We've not reached a conclusion, and all options remain on the table. So to wrap up, let me reconfirm our guidance for 2020. As we communicated in December, we expect the first half of 2020 to be a step-up from quarter 4, but below 3%, and we expect the full year to be in the lower half of our 3% to 5% multiyear range. We do see the challenges that we saw in quarter 4 continuing, as Graeme said, and that will have some impact in the first half of 2020. We're monitoring the effects of coronavirus, most importantly, on our people, but we're also mindful that it's likely to affect our businesses. It's too early to quantify, but we already know, for example, that it will have a commercial impact, about 1/5 of our business in China's professional foodservice, and that's likely to be significantly impacted by a drop in out-of-home consumption. We expect continued improvement in underlying operating margin, remaining on track for our 2020 goals. And that, of course, will be delivered through our focus on waste and inefficiencies and through restructuring investment that takes out cost. But this will, of course, be done whilst ensuring that our brands are competitively supported, so there's absolutely no tax on growth. And if it does come to a trade-off between margin and growth, we will certainly prioritize growth. We see another year of strong cash flow. And with that, let me thank you for your attention. That's actually the end of our prepared remarks, and we're going to take questions now. Richard?
Richard Williams: Thanks, Alan. Thanks, Graeme.
A - Richard Williams: [Operator Instructions]. So our first question will be from Alain Oberhuber from MainFirst.
Alain Oberhuber: Two questions. Just regarding the tea business and the strategic review, does the strategic review also include the premium tea, like T2 and coca? And the second question is regarding the strategic review and the dressings business. Isn't that the dressings business also fall into the same category as Spreads and tea?
Alan Jope: Yes, let me take that. So Alain, first of all, this is a review of our global tea business. And to give you a blunt answer, yes, it does include premium tea. As far as dressings is concerned, actually, we believe it's got some quite different characteristics to tea. It's more technology and marketing sensitive. And although growth has been impacted by the competitor battle in the U.S., we do see brighter prospects of growth in dressings as we bring that business on to trends like vegan. So at the moment, the strategic review that we've announced is focused on our worldwide tea business.
Richard Williams: Our next call will be from Richard Taylor at Morgan Stanley.
Richard Taylor: My first question is reflecting on your first year in the job, Alan. What's the biggest change that you've made? And what impact has that had? And the second one, I suppose I'm just reflecting on the warning in December. I was pretty perplexed by the warning at the time because, in effect, it was about 30 basis points - 20 to 30 basis points of full year expectations. And looking at the results today, I suppose I'm even more perplexed by the warning, particularly given the comments around margins, or kind of earlier in the year, were more material for earnings than the December statement in terms of like-for-like growth. So I'd love to get a bit of your insight in terms of why you chose to update the market in December because it didn't seem to be particularly material on analysts' expectations.
Alan Jope: Okay. I'll take the first question, Richard. And Graeme, why don't you take the second one? Well, it's been a busy year in 2019, and I think I would put it under the headline of preparing the business for faster growth. When you look at that, we've changed 7 members of the Unilever leadership team. We've completely reorganized our market's organization. We've developed a multiyear integrated growth strategy, which has really now landed across the organization. And most importantly, we've thoroughly analyzed our business, developed the 5 growth fundamentals that we think will unlock growth, shared those across the business so that we are fully aligned and poised for a sequential step-up through 2020. And then towards the end of the year, getting busy with the portfolio review where you see very significant announcement today on tea. I think all of that I would put under the heading of a burning desire to get evenly prepared for faster growth in the future, putting the pieces in place. I also don't want to understate the proud achievements that Graeme rattled off on the discipline that we continue to have in the business around delivering bottom line and balance sheet performance. So those are - that's kind of how I would characterize year one, a busy, exciting year, very much focused on future growth.
Graeme Pitkethly: Yes. Richard, thanks to your second question because I think we owe it to everybody to explain a little bit the choreography around these things. But let me preface the comment in response to you by saying, overall, we find the fact that we're only growing at around 3%, as Alan said, both disappointing and frustrating, particularly when it's clear that with the actions that Alan's lined out, we can improve our executional success rate in the business, get us back up to growing - winning share in our business beyond the roughly 50% of our business that is currently winning share. So we know what the objective is and we know what we have to do, that's why 3% is disappointing and it's frustrating. Now the reason I say that is because what I'm about to say - I don't want it to be perceived as not with a reasonable degree of humility. But I would agree with you that in the way of the world now, it is a little bit crazy that we are obliged and compelled to come out with a warning, which ultimately is, I think you alluded to in your question, was a 10 basis point miss outside of a long-term growth range of 3% to 5%, or put another way, €50 million on a €52 billion business. But let me assure you, it would have been our choice. But of course, we are obliged by the markets to do that by the regulations to which we're all bound. And you saw the reaction to the announcement on the day. And of course, that reaction would support the regulatory view that we should have come out and explained it. And do I think that, personally, that reaction warrants a tiny miss on a pinhead on a business of this scale and size and future volume significance in the way we manage the business? Of course, I don't. But having said that, and as I began the answer, it doesn't excuse the fact that we're frustrated that we're only growing at the bottom of our range right now. And we've got a job to do to deliver a step-up in that growth range going forward by a combination of better execution and faster and more focused portfolio change. So we take accountability for that. But in terms of the management around that announcement, it was 100% down to the obligations that we face from regulation.
Richard Williams: Thanks, Graeme. Next question from Charles Eden at UBS.
Charles Eden: So just a quick question on your 2020 outlook slide where you gave guidance for continued progress towards a 20% underlying rating profit margin. Just wanted to pick up on the wording progress towards, does that suggest you may well come in light of that 20% number? And then my second question is on the commentary around improvement in Brazil. Could you just give some color in terms of what is the improvement you're seeing?
Alan Jope: Thanks, Charles. When I say that we'll progress towards 20%, I think what it says is we're very confident that at 19.1%, it's relatively straightforward for us to continue to show margin improvement. And getting 50 basis points or so of margin to a number that would run to 20%, we were talking about a couple of hundred million of bottom line improvement in the context where we deliver €2 billion of savings a year and I've got the flexibility on where we reinvest that. So we remain quite confident that we can properly invest in the business and continue to show bottom line evolution. But I do want to underscore that we're not fixated on that 20% operating margin nor are we fixated on exactly when we deliver it. And if push comes to shove, we will release extra funding to support our growth agenda, as, in fact, we did in the second half of last year. The turnaround in the North American hotspots did involve those dynamically redeploying resource into North America, and we wouldn't hesitate to do that again. So take the 20% margin as a destination, but with a management team that's not fixated on exactly when we get there.
Graeme Pitkethly: Do you want me to take the Brazil point?
Alan Jope: Yes. You take the Brazil, Graeme.
Graeme Pitkethly: Yes. Charles, thanks for the opportunity to talk about Brazil and Latin America more generally. As we said in the prepared words, we expect to see an acceleration in growth during the course of 2020 and that's a result of several things, that's a result of the growth fundamentals better execution, that's a result of our innovation program coming through, most of which is a lot of good stuff lending in the second half of the year. It's a consequence of lapping, but it's also a consequence of recovery in some markets. And there's two in particular I'd like to call out. We think the slowdown in India, it's hard to call it. But we think it's more likely that the Indian government may take economic actions to support the growth rate of GDP in India towards the second half of the year. And the second one is that we're expecting that Latin America, which has been bumping along at really historical lows of market growth following the crisis in Brazil and the ongoing crisis in Argentina, that will begin to recover and we're seeing that now in Brazil. And I think we will see Brazil recover over the course of 2020. It's a very important market for us. As you know, it's 40% of our sales in Latin America. We delivered above mid-single digit growth in 2019. It's ahead of market growth, which is only 2% to 3%, and we made some very strong share gains in the second half of 2019. So the business is managing the crisis extremely well. And as usual, we're coming out of the crisis in really good shape. A lot of the comments I made on innovation, a lot of the comments I made on market development previously were addressed around Home Care and Brazil, in particular. A lot of the innovation we've done around concentration. We had a complete relaunch of the Omo laundry brand in Brazil last year. As many of you will know, that is the biggest brand in Unilever. It is better than most of our countries. The number one SKU and Unilever is Omo almost 1 kg Brazil. The number two SKU in Unilever is Omo 2 kg Brazil. To relaunch the totality of the brand architecture and do that really successfully, I think, gives us a great platform there.
Alan Jope: And the number one most-loved brand in all of Brazil.
Graeme Pitkethly: In all of Brazil. So we've got great assets there. We need to cherish them. And sometimes, you need to refresh them. And I think we've done that very well. Now if we start to get the market recovery that we are starting to see, and we're much more optimistic a bit to know, then I think we'll get back to stronger market growth. And of course, to be totally candid, a big piece of the move from the bottom of our range to the upper half of our range has to be through a step-up in market growth, and we believe that Latin America and Brazil, in particular, can be a big component of that.
Richard Williams: Okay. Quickly to next question. We got large number of questions still on the line. Martin Deboo at Jefferies.
Martin Deboo: Okay. I'll try and keep it brief. Graeme, just on the first question, let me push you a bit harder on what you've just said. I think the question in my mind is what - I understand what you're saying about the lay down of the year on the top line, but what does get better in H1 that raises above Q4 performance? Are you - it feels like you still got the headwinds from West Africa, from Turkey, probably India in H1? So what's getting better? Is it just Brazil? Or is it something else? And the second question is moving parts of margin. Again, I heard what you were saying in response to Charles' question, but just - I'm not looking for a number from you, I just want to make sure I'm understanding it. You've got - good news is there's further cost savings, but I think there's only €0.5 billion left now of the original €6.5 billion. It feels to me like BMI goes up because Alan said in Englewood that you got a big innovation pipeline. So there's a question I don't have the answer to is what the commodities do in 2020? So those are the questions. Is there H1 growth and FY '20 moving parts of margin?
Graeme Pitkethly: Yes. You're going to take H1?
Alan Jope: I'll do margin. You take H1.
Graeme Pitkethly: Okay. Okay. Okay. Right, Martin, we're debating up the - up your question here. So let me take H1, and let me deconstruct, first of all, the - what happened with the momentum growth rate of around 3% dropping to 1.5% in Q4. Ghana, Nigeria was about a 40 basis points impact. The impact of the deflation in the NAMET region was more than that. India was roughly similar to Ghana, Nigeria, and it was a smaller contribution from the U.S. Now that will - that adds up to somewhere north of about 150 basis and bridges you from the 1.5% to the 3%. So your question wasn't what will happen to step-up in H2, because I think that's clear. The question is what will cause the acceleration of that through from - into H1. And we do expect, although Ghana, Nigeria will continue, we're working through what is a very significant and focused problem in 2 countries there and we're working through the trade stocks. I mean to be honest, when we say we're working through the trade stocks that are too high, it's a little bit deeper than that. We're obviously exposed with a bunch of receivables from distributors and we simply want to make sure that we can recover that money. We're through the bulk of that now. And so whilst it will continue, it will mitigate over that first half period. The second thing that you can expect to see, and we're going back here to the progress on the hotspots that Alan set out on the charts earlier, 3 of which are in North America, we fully expect that the actions we're taking in dressings, the actions we're taking in ice cream and the actions we're taking in hair care will bear fruit as we come through into that period. And the final one is there was some back year impact from the trucker strike relapping in Brazil in Q4 of 2018 and that doesn't persist into the first half. So just on your question of first half sequential growth, we can get growth from that. That leaves aside all the things around execution or innovation in the normal workings of the business as we go forward. The only counter to that, there's always a caveat, but as we said, coronavirus, we'll just have to park that for now because it could have an impact, it will have an impact, and we just don't know how much that is yet.
Alan Jope: Right. On margin, let me just talk a little bit about some of the drivers. First of all, you asked specifically about commodities. What we see is mid-single-digit increases in commodities. A lot of that is in our agricultural inputs. And therefore, we think that our F&R business, Foods & Refreshment, will possibly be more exposed to commodity increases through the first half of 2020 than the other parts of the business. But let me clarify one thing. When you said, Martin, there's only €0.5 billion of savings left, I really want to triple underscore that our model relies on well over €2 billion of savings coming out every year. And whilst we don't really have a crystal ball on what the markets are going to do and, therefore, what our top line is going to be, we have an extremely strong window into our likely savings programs for the year. And whether it's the remaining opportunities in ZBB, continued work on product and conversion cost, whether it's the overhead's transformation program or the big savings that we outlined in our IT infrastructure, then in the Capital Markets Day, we are very, very confident that there's a couple of billion of real savings for us to deliver this year. And that gives us the choice and flexibility on where we want to reinvest. It might be in - I think it will be in a - a step-up in number of FTEs and marketing to drive the new future marketing model. I think it will be a step-up in BMI, definitely in the absolute and probably as a percent of turnover. And there might be other areas where we choose to invest, one of which will be some of the environmental commitments that we've made. So for instance, accelerating our use of recycled plastic, which we know makes our brands more relevant for the consumer. So think - literally think of it as we need to improve profit by a couple of hundred million, and we've got a couple of billion to redeploy in choosing how we get to that goal.
Graeme Pitkethly: Alan, can I just - can I spend a second. I don't want to take too long, but it's a good opportunity to talk about the mix of the savings delivery and also restructuring investment, just to round out the totality of it. Because what's happened, Martin, in broad-brush terms, our 5S supply chain savings program delivers consistent levels of savings at the elevated levels that we foresaw at the time of the 2007 - '17 strategic view when we upped our run rate of savings from €4 billion to €6 billion over the period from '17 to '20, and we fully, indeed, overdelivered against that. ZBB, because of the nature of the beast, you get declining returns on it. So that has started to fade off as a proportion of the contributor because we've reached the benchmark levels that we feel are appropriate for the business, but that has been backfilled by the change programs. And it's a really important point that we asked permission to spend about €3.5 billion plus of restructuring funds in 2017. And we've been doing that, and it sits below our underlying operating margin. So really, it doesn't often get a lot of attention, but I would like to draw attention to it because it's real money and it's money that we're investing in changing Unilever. Most of that money has gone into the supply chain in Europe, the supply chain in Latin America. A lot of it went into taking out the stranded costs on spreads, which were €250 million a year, and we've fully taken out those stranded costs. And the rest of it is going into build capability for the future, as Alan said, particularly in our back-office systems, run, power, grow, powering up our global business services organization, using technology and getting on the technology curve properly, and that gives us the confidence that we can continue at the elevated savings rates going forward.
Richard Williams: Okay. We've still got a lot of questions on the line. So we'll probably run over by 5 or 10 minutes. Alan, Graeme, if you can run over a little bit, so trying to get as many as possible. So the next question from Celine Pannuti at JP Morgan.
Celine Pannuti: My first question is on pricing. I was quite surprised by the deceleration in pricing, which we explained by the AMET region. But I think, as well, Europe was very weak. So could you maybe talk about Europe? And then as I look to 2020, would it be fair to say that the pricing covenant would remain quite weak as we've seen in Q4? And then my second question is on Latin America. I heard your commentary on Brazil. Can you share with us how much Argentina grew in 2019? And what about the rest of Latin America, excluding Mexico and Brazil?
Alan Jope: Thanks, Celine. Well, I think you've sort of answered your own question on pricing. It was very much driven by the lower inflation rates in particularly Turkey and Arabia. But I do want to call out the continued deflation in Europe. The deflationary trade environment where we have consistent negative UPD in Europe is something that we're addressing. It will - the only solution to that is a strengthened innovation program. And because it's when you innovate that you're able to pass along more added value and, therefore, take price in Europe. So those are the 2 big drivers. I think as we look forward to 2020, we definitely don't guide on price. But what I've said on commodity inflation would suggest that it will be, if there's such a thing as a normal year of price increases in Unilever, then that's how we're characterizing 2020. Our model is that we want to see a good balance between volume and price. And so far, we - although we see movements quarter-to-quarter, for the last few years, we've continued to see that good balance between volume and price. The LATAM question, Graeme, why don't you expand on that a little bit?
Graeme Pitkethly: Yes. Celine, so Argentina - I said earlier, Brazil is about 40%, I think, of the Latin American region, for as Argentina is about 15%. And year-after-year, it gets smaller because, obviously, the value of the business in euros drops down. First thing to say, I mean, a few years back, our Argentinian business was a €2 billion business. It was €900 million last year. And as we reset the exchange rates for this year, it's only a €600 million business for Unilever. So we had growth in Argentina of almost 20% last year, and that, of course, includes 26% of pricing, the 2% per month nonhyperinflationary component of pricing in a hyperinflationary environment, if that makes sense. But the important thing, of course, is what's happening to volume, what's happening to share, what's happening to margin. So let me deconstruct that. Volume declines in Argentina have slowed sequentially during the course of the year. It's obviously still slightly negative given the scale of the economic challenges and the levels of inflation, et cetera. But we did have, in Q4, marginally positive volume growth in Argentina, which I think is a real turning point both for the economy and also for the business there. Markets still decline, by the way, double-digit volumes, so we've got down to flat volumes in a market where volumes are declining double digit. And that for us is the acid test of managing through a crisis. It means we are gobbling up share. People are staying with our brands. We've shifted our portfolio to be relative to a crisis-stricken consumer as we do many times, and we know that we're being competitive and profitable. We also look at our gross margin. Our margin is moving forward there. So we're doing the right things, pulling the right levers. And one day, Argentina will be back and will be stronger, I imagine.
Richard Williams: Okay. Thank you. Straight to James Targett at Berenberg.
James Targett: Two questions. Firstly, could you talk a bit about how you might prioritize use of any capital released from the tea review, especially in terms of M&A versus - or acquisitions versus buybacks and on potential acquisitions? It sounds like Asian skincare and VMS is a number one priority. And then secondly, just coming back on the impactful innovation, you mentioned as part of your 5 pillars to organic growth acceleration. Could you give us some color on the sort of the kill rate of the 30-or-so new brands you've launched internally over the last couple of years?
Alan Jope: Okay. Thanks, James. Look, on capital allocation, our first priority is always going to be to support the operating capital investments that we need to make to grow the business. Second call on that will be value-creating acquisitions, and you've called out a couple of spaces that we are definitely interested in. Beyond that, we have obviously used buybacks in an episodic way when we've had an influx of capital. At the moment, I don't want to speculate on the outcome of the review because it might end up in something that generates a lot of cash, but it might well not. And so at this moment, I don't want to be lured into a false assumption that this is necessarily a sale transaction that generates a whole lot of cash that we have to figure out what to do with. So our capital allocation algorithm remains very similar going forward as it has been in the past. The second - your second question was on innovation, yes, kill rate. So let me just say, underscore, the type of innovation that's doing well for us right now. And I'll illustrate with 3 examples that sort of grim into that, but I want to pull them into more strategic themes. The first is, if you take our food business, anything in the vegan space is doing very well at the moment. And vegan mayonnaise, vegan ice cream, we really see that we're beating our business case on those types of innovations. Then Beauty & Personal Care, we see how important advanced technology is. And so a Dove product that works with your natural biome, that's the bug colonies that are on your body, to actually promote skin health, that's using some pretty advanced technology. And maybe even higher levels of technology is our - we talked about our Rexona Clinicals range, it' truly a breakthrough in antiperspirant efficacy. And then the third area is the whole issue of sustainability. I think Home Care have moved fastest with things like our concentration agenda where we'll use much less plastic and really very quickly moving into high levels of use of our - of recycled plastic. And whilst I can't obviously talk right now about what's coming up specifically, expect those themes of on-trend, advanced technology and eco-innovation to pervade the innovation agenda going forward. Now as far as our new brand kill rate, I think we would declare right now about 1/3 of them as successful and sustainable, 1/3 of them where we will end up walking away and about 1/3 of them are - where we need to pivot and adjust the mix and see how they do. We're quite happy with that ratio with a couple of standouts that are really doing very well, and we speak often about Love Beauty and Planet, which is now Love Home & Planet, over €100 million business, all incremental, taking us into new channels and addressing a younger group. So I would say, think of it as 1/3, 1/3, 1/3 for the time being.
Richard Williams: As I said, we'll let the call run on a little bit longer to try and get there as many questions as we can. So next question is from Warren Ackerman at Barclays.
Warren Ackerman: Alan, Graeme, Richard. It's Warren here at Barclays. Two from me as well. The first one is just coming back on Beauty & Personal Care growth, 30.5% in the fourth quarter, the lowest I think in about a decade. You gave a lot of reasons on the call as to why it was weak. Could you maybe sort of spell out for us what growth was in the quarter between the 4 subcategories of skin cleansing, deos, hair and oral? And just your expectation for 2020? Because when I look at the margin of the division, it was up 70 bps to almost 23% in the year, which is well ahead of Estee and L'Oreal. I'm just wondering whether you and, particularly, Sunny Jain are comfortable with that balance between the margin and the top line? Because when I listen to what you're saying, it kind of - it sounds like you're saying it's mainly macro. But is there just a competitiveness issue as well in Beauty and Personal Care, your biggest division? And then secondly, just on tea. Graeme, could you just tell us what the sales and EBIT are of that division, please?
Graeme Pitkethly: Do you want me - I'll take the first part on BPC, and then you do the middle part and then we'll maybe come back on tea? Warren, so first thing maybe I can do for you is just bridge across and give you the particular BPC impact mix of the 4 factors that caught us in the fourth quarter. So West Africa had a big impact in BPC in 2 categories, oral care and skin cleansing in particular. North American hair, we've talked an awful lot about it, but that obviously rolled into BPC. And also - and this links a little bit to Celine's question on pricing in the fourth quarter is that we strongly adjusted our pricing in the business in skin cleansing in India in the fourth quarter. Now all of that rolls up into BPC. And if you put all of that together, Warren, that's about 180 basis points of impact from just those factors on the BPC business, which bridges you across from the 0.5% much closer to the full year rate. Now I'm not going to, and I probably couldn't anyway, look at the impact of all of that on the quarterly subcategories of BPC. But I will give you the makeup for the full year, recognizing that Q4 was kind of exceptional and the full year was the full year. But our skin care business grew at sort of mid-single digits by 3%. Skin cleansing, a little bit below that, a couple of percentage points. Deo had a very strong year, as I said before, at 6%. Prestige continues to crack out double-digit performance in Prestige beauty. Oral care, which had a big impact of Ghana, Nigeria at the end of the year, was just 1% for the year. And hair care overall was a couple of percentage points for the year. So that's the sort of mix of the subcategories in BPC.
Alan Jope: Graeme, you're being unusually transparent on that. But I think it's important that we're explicit on just how well Prestige and deos are doing. Skin care coming in nicely, and the impact that some of the specific challenges that we've called out had on things like hair and oral and skin cleansing. As far as tea is concerned, Warren, let me say that it's a €2.9 billion business. It has been significantly dilutive on growth through Unilever for 10 years as best we can see. And the truth is we don't know the full EBIT margin until we do the strategic review, but as best I can tell, it is slightly dilutive to Unilever.
Graeme Pitkethly: Because of - it's exactly...
Alan Jope: Shared costs.
Graeme Pitkethly: Because of shared costs and allocations and spreads and parameters and however the strategy of what it is we're looking at comes together, that's the reason for that.
Richard Williams: Okay. Thanks. Now to David Hayes at Socgen. David, are you still there? Are you on mute? Okay. Let's try Chris Pitcher at Redburn.
Chris Pitcher: A quick question just on the timing of the tea strategic review and your broader M&A strategy. And the reason for saying that is, obviously, tea is a big business in India and the Middle East and it appears to be sort of the low point in the cycle there. And can you give us evidence of how you've tried to make it grow as the category leader in terms of incremental investment over that 10 years that means you think it isn't achievable? The reason I say that is that you talk about keeping dressings because of its vegan potential. And if I look at Upfield's website, they're making a big thing about the growth from vegan and plant-based food and I just worry slightly the timing of disposals isn't perhaps creating maximum value. And secondly, on that, have you discussed, obviously, with Hindustan Unilever because in terms of unrecovered costs, that would have quite a significant impact on that business.
Alan Jope: Okay. First, let me say that in the tea market, and you're really talking here about sort of consumer trends, there's a really quite dramatic shift from black tea to initially green tea, and now we're seeing more and more herbal teas and infusions. And we've done a lot of work to add that leg to the portfolio, both inorganically within the brands that we had, but also by building in some new brands that we've acquired. But the harsh reality is that 2/3 of our tea business remains core black tea, which is declining. And we have really seen this trend play. It's not a short-term thing, it's a long-term trend, over a decade. We've had a lot of good effort at getting the core black tea back to growth, but we just don't see it happening. And you've referred back to our Spreads business and Upfield. We stay closely involved with Upfield partly through the transition service agreements that we built with them and very open with how that business is doing. And suffice to say, they've pulled various levers to get the growth improved from where it was, but it would still be massively dilutive to Unilever even with the good efforts that they're putting in. Secondarily, we believe we got outstanding value from that transaction. We more than covered the retention value. And we think it was a very, very good thing for our shareholders, both top line and earnings impact. And in many ways, tea falls into a similar camp. And so we're going to do a full review to see if there are ways to unlock value that would include different ways of organizing the business partnerships, different ownership structures. I don't want to presuppose that the outcome will get an exact mirror image of our spreads business.
Richard Williams: Okay. I think we have David Hayes back on the line. David do you want to go on with your question?
David Hayes: I'm trying again. There was a technical issue. Can you hear me now?
Alan Jope: Yes, we can.
Graeme Pitkethly: Yes.
David Hayes: So two for me. Firstly, just back to tea. I mean in November; this was obviously speculated on as a review process. I think you, Alan, and couple of the execs were on record saying, "We've got no interest in selling these brands and that we can - we're the best owners and we can make it work better." I guess the questions are, one, why did that change? And when did that change? And secondly, what is it that another owner from bringing to those brands at Unilever as the owner cannot achieve, which means they can get more value and cover tax leakage and so forth. And the second question is just on innovation. You talked about being heightened brand awareness, availability being heightened purposefulness as well. But that all sounds more expensive to achieve. I guess the 2 questions are related to that. What you're - one, is it more expensive to compete than it was? Then you thought it was going to be maybe 2 or 3 years ago? And then if that is the case, where is it that you're seeing that offset, which means the margin commitment is still there. I know you've kind of addressed it in pieces during the call. But just trying to understand it, it feels more expensive to be effective and to get the growth, so why is that margin commitment not having this year?
Alan Jope: Thanks for the question. So first of all, we initiated the tea - sorry, the strategic review of our portfolio in November. And at the time, there were immediately quite public speculation on multiple different parts of the business, including tea. And what we said at the time was we have no plans to sell tea. And we didn't go as far as you indicate in terms of declaring our eternal undying love for the category. So we just, basically - we get these speculative rumors all the time. We quash them. And know that we are initiating a strategic review, we have been very open about it. So please count that when we're doing - when we're thinking about these things, we'll communicate transparently. Secondly, in describing the five growth fundamentals, what I was trying to do is lay out a very important growth lever for us, which is just execution on getting the basics operating at a very, very high level. We often spend a lot of time talking about portfolio change as the unlock for everything. But actually, the easiest growth for us to unlock is just a step-up in executing on things like product quality, availability, quality of advertising, distribution and so on. And that's where the 5 growth fundamentals are all about. Finally, on your point around, is it going to be more expensive to compete. There are pockets in the world where we run into a stepped-up cost to compete. So we ran into - simultaneously in 3 places in North America in the middle of last year where the heat went up in dressings, the heat went up in hair and the heat went up in ice cream, and we reinvested back immediately. I think at an aggregate level, high - in fact, we know for a fact, high-quality innovation is a more efficient thing to spend against. The two areas where we get the biggest bang for our buck is really motivating, purposefully, brand communication. And when we have genuine product news in the form of innovation, actually, those are a multiplier on the effectiveness of our spend and don't require an increment in our spending.
Graeme Pitkethly: Can I choose the opportunity to drill in a wee bit to this? The change in the cost to compete. Because it's the nature of the competition that's really changing much more so than the cost. And I think we need to appreciate the extent to which the overall cost base of the company is changing. Now there's obvious stuff here. If you go back to Unilever of decades ago, like all large companies, a bit fat and happy, and the sort of ZBB opportunity comes in just to get normal productivity and cost discipline in place and that continues to go forward. If you take things like 5S and the ability to run technology through the supply chain, the ability to run e-auctions on raw materials, that starts to provide pools of cost shift around the business. And then think about ERP, you think about the application of analytics and RPA across the business, it's really important that we invest to get ourselves on the technology curve, a simple platform, so that we can continue to get the technology cost dividend going forward. And then most fundamentally, and there's always the vexed question of percentage BMI or absolute BMI. But if you go within that, we've built 38 digital hubs and 38 U-Studios in Unilever at huge cost sitting in the overheads line, but at total cost, which is 30% cheaper than buying in that service outside. We got 30 people, data centers. Again, we staffed those up, and that sits in overheads. There are many areas, David, we're just looking line-by-line on the traditional consumer P&L, below the surface lots and lots has changed. And I think the message is that there's lots and lots of opportunity to be able to generate the fuel to continue to invest in making sure that you are successful in growing your business, but the mix of doing that is quite dynamic.
Richard Williams: Okay. We will take one last question. I know we've run over even an extended time. But we'll take one last question. We still haven't got for everybody. So Alan Erskine at Crédit Suisse.
Alan Erskine: Guys, I mean, just two very quick ones. One, you mentioned that Prestige beauty grew double digit, I think, in the year. Could you broaden that, Alan, and tell us what your - the acquisitions that you've made since 2015? As in aggregate, what the like-for-like sales growth for those were in the year? And then my second question is going back to an earlier question, at the Capital Markets Day, you - I got the impression that share buybacks were going forward would be a sort of recurring part of your earning algorithm. Your net debt-to-EBITDA at year-end was below two. So I guess I was a little surprised you didn't announce a buyback this morning. Could you talk through maybe where I've got that wrong?
Alan Jope: Why don't I take that first question, Graeme, and you can talk about the capital allocation?
Graeme Pitkethly: Yes. Sure.
Alan Jope: So I'm going to give you an uncharacteristic level of transparency on our Prestige business. The biggest brand that we've bought there is Dermalogica, and we've seen really an extraordinary - had not grown for four years when we acquired it, and it's not growing high single digits. It's really been an extraordinary step up. Then we've got some brands that are delivering super growth, which are things like Hourglass, Living Proof and REN, and where we acquired two brands last year, Garancia and Tatcha, both growing well into double digits. Murad has been more of a struggle. But actually, when you put it all together, it's a very strong picture. And remember, we're getting 10% growth plus out of Prestige that has largely a North American, European footprint. So this is not like-for-like with businesses that have got a strong Asian footprint of Prestige. And that remains really a big opportunity to strengthen our luxury beauty in Asia and in travel retail, notwithstanding the current coronavirus. I know your question really was around the total impact of M&A and we've been seeing that we get about a total of 70 basis points accretion from a combination of acquisition and disposals. And I think I'd be - being less than honest if I didn't say that when you look beyond Prestige skin and when you look beyond our vitamins, minerals and supplements, we've got several of the acquired businesses where we're falling short of the business case and we're having to make interventions to step up the performance there. So it's kind of a balanced picture. The bright spot is definitely Prestige and the vitamin, minerals and supplements businesses. Several of the others on plan and a couple that come off plan. Graeme, do you want to talk about capital?
Graeme Pitkethly: Yes. Sure. I mean, Alan, I think what we're hoping at the Capital Markets Day is to be really clear on the kind of capital allocation priorities and framework in the company, which we think is very tight. And we just wanted to be clear on that. Alan said earlier, philosophically, perhaps in the past, we've been episodic with regard to share buybacks. We wanted to be clear that we view it as a part of our capital allocation framework and a perfectly valid method of shareholder return, et cetera. I hope it didn't create the impression, though, that we were going to come forward in the first quarter with a plan. Obviously, the biggest factor, because our cash flow is good and strong and we're confident in the delivery of the shape of the P&L, et cetera, the biggest determiner is the balance of acquisition and disposal. Obviously, the announcement today, we think there might be more of a bias towards disposal. And as Alan said, acquisitions are likely to be more focused than they have been in the past and perhaps a slower rate of maybe slightly larger transactions, if we can do that. But it's assessing that balance of acquisition and disposal is important. Typically, at this point in the year, we don't have that same degree of visibility over the year. So it's really just too early to say. And obviously, we don't want to do something that is frequent and small. We'd rather do something that was more important. Please remember that we still got Horlicks to close out in the first quarter of this year. So that's in our acquisition and disposal pipeline funnel as well.
Richard Williams: Okay. Thank you, Alan. Thank you, Graeme. We're going to have to close there. Thanks, everybody, for staying with us over time. We tried to get those many questions as we could. We still have a few questions we haven't answered. So sorry about that. But please call us in the IR team, and we'll get back to you as soon as we can. So thanks, everybody. And let's close the call. Thank you.
Graeme Pitkethly: Thank you. Bye.
Alan Jope: Thanks, everyone.
Richard Williams: And Alan, in particular, bad luck in the rugby this weekend.
Operator: This conference call has been recorded. Details of the replay can be found on Unilever's website and will be available shortly. Thank you.